Operator: Good day, and thank you for standing by and welcome to the Biodesix First Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions]  Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today Chris Brinzey of Biodesix Investor Relations. Please go ahead.
Chris Brinzey: Thank you, operator, and good afternoon everyone. Thank you for joining us today for a discussion of Biodesix's first quarter 2023 business highlights and financial results. Leading the call today will be Scott Hutton, Chief Executive Officer. He will be joined by Robin Harper Cowie, Chief Financial Officer. After the prepared remarks, we will open the call for Q&A. An audio recording and webcast replay for today’s conference call will also be available online as detailed in the press release announcement for this call. Today, we issued a press release announcing our business highlights and financial results for the first quarter 2023. A copy of the release can be found on the Investor Relations page of the company website. Actual events or results may differ materially from those projected as a result of changing market trends, reduced demand, and the competitive nature of Biodesix industry. Such forward-looking statements and their implications involve known and unknown risks, uncertainties, and other factors that may cause actual results or performance to differ materially from those projected. The forward-looking statements discussed on this call are subject to other risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in the company’s annual report on Form 10-K for the year ending December 31, 2022 filed with Securities and Exchange Commission on March 6, 2023 as well as on form 10-Q filed today for the first quarter 2023 as applicable.  Additional information concerning factors that could cause results to differ materially from our forward-looking statements are described in greater detail in the company’s press release issued today and in the company’s filings with the SEC. I would now like to turn the call over to Scott Hutton, Chief Executive Officer. Scott.
Scott Hutton: Thank you, Chris. Biodesix is a patient-centric, mission-driven lung disease diagnostics company with a mission to unite physicians, patients, and biopharma to transform the standard of care and improve outcomes with personalized diagnostics. At Biodesix we build a comprehensive portfolio of precision diagnostic test to support clinical decision-making across the lung cancer continuum of care. Our core lung diagnostic testing portfolio ranges from the initial risk assessment of lung nodules with the Nodify lung testing strategy, to post cancer diagnosis, treatment guidance and monitoring with the IQ lung testing strategy. Nodify lung consists of two blood-based proteomic test. Nodify CDT and Nodify XL2, which are used by physicians to assess the risk of malignancy of a lung nodule. IQ lung consist of three blood based tests, the GeneStrat NGS genomic test, the GeneStrat-ddPCR-targeted genomic test, and the VeriStrat proteomic test. Offered as options within the IQ lung testing strategy, these three tests are used to inform treatment decisions and monitor for the rise of resistance mutations, while patients are on therapy All five tests in our core lung diagnostic testing portfolio are covered by Medicare and we believe we're the only diagnostic company with five on market tests for lung cancer, all with Medicare coverage. Throughout the quarter, we've continued to make excellent progress. And I'm pleased with the start to the year. Looking at our financial performance, we reported total revenue of $9.1 million for the first quarter 2023, which represents growth of 38% compared to the same period a year ago. The quarter was again highlighted by the impressive growth of our core lung diagnostic testing business which generated revenue of 8.6 million reflecting approximately 86% year-over-year growth. We're exceptionally pleased with not only the growth in core lung diagnostic testing volumes, but in the accelerating ramp of that growth. Core lung diagnostics quarterly test volumes increased by 78%, compared to the first quarter of 2022, the highest quarterly year-over-year growth in nearly two years, primarily driven by our Nodify lung testing volumes. Following the seasonality seen in the beginning of the first quarter, our sales team has benefited from being in front of physicians and care teams on a day-to-day basis, as well as an increasing number of peer-to-peer physician educational events. Importantly, the momentum seen through the end of the first quarter has continued. And we're pleased with the start to the second quarter. In addition to the growth and volumes driven by our sales team, broadening reimbursement coverage remains an important part of our growth strategy. Building on the recent announcements of the first four private payer coverage policies for the Nodify XL2 we're making excellent progress and expect to have additional updates for you in the coming months and quarters, including the anticipated first private coverage for our Nodify CDT test expected later this year. To further support our clinical adoption and reimbursement, we also anticipate several updates on clinical studies we are conducting that will build upon and support the clinical utility of our Nodify lung, and IQ lung testing strategies. Specifically, we anticipate sharing additional data and updates from the Oracle study evaluating the performance of Nodify testing, and updated data from our Insight study, assessing the clinical effectiveness of VeriStrat our proprietary blood based proteomic immune profiling test. Moving to our biopharmaceutical partnerships and service business, in the first quarter, we reported revenue of $411,000 for the quarter, which continues to be impacted by timelines for existing and new agreements resulting from delayed enrollment and clinical trials. On a positive note, we continue to have a strong backlog and we ended the quarter with $9.1 million under contract, but not yet recognized. While we're encouraged by the continued strength in the backlog, we assume the challenges our pharma partners are experiencing will remain for the next few quarters, as Project Flow, and in some cases are delayed beyond our originally expected timelines. Longer term, we believe our ongoing efforts and advancements in explainability and transparent AI provide what we believe are unique insights and clarity to healthcare professionals and biopharmaceutical and academic research teams by providing the ability to identify key biological mechanisms, driving specific outcomes for patients subgroups that may require a different approach or different treatment. I've said it before and cannot reiterate it enough. Lung cancer kills more people in the United States annually than the next three deadliest cancers combined; breast, prostate and colon cancer. Time matters when treating these patients. We pride ourselves on Biodesix's ability to discover develop and commercialize a broad range of test that can quickly provide critical results and insights back to health care professionals and care teams with best in class turnaround times for all tests to help improve patient outcomes. With our strengthened financial position, along with the products and team in place, we're confident in our ability to drive continued strong test volume and revenue growth in 2023 and beyond. Now, let me turn it over to Robin to review the first quarter 2023 financial performance. Robin?
Robin Harper Cowie: Thanks Scott. First quarter total revenue was 9.1 million is 38% increase over the prior year. Core lung diagnostic revenue in the first quarter was 8.6 million compared to 4.6 million for the first quarter of 2022 an increase of 86% over the prior year. In the quarter we recorded total test volumes of approximately 7600 versus approximately 4300 for the first quarter 2022 a 78% increase. The growth in test volume was primarily driven by our Nodify lung nodule testing, which includes Nodify XL2 and Nodify CDT tests. The difference in growth rates between volume and revenue was primarily driven by Medicare coverage for Nodify CDT achieved in the second quarter of 2022. Biopharmaceutical services revenue was 411,000 in the quarter compared to 915,000 in the first quarter 2022 a decrease of 55%. As a reminder, this business can fluctuate due to several factors, including contract timing and project execution, but in this instance, reflects the continued delays of enrollment in prospective clinical trials to complete the project and recognize revenue.  As Scott mentioned, we ended the first quarter of 2023 with $9.1 million contracted but not yet recognized as revenue. These dollars are tied to multiple agreements with different timelines and will be recognized as these projects are executed. COVID testing revenue in the quarter was negligible and as we have guided should not be modeled to contribute to revenue in 2023. In connection with the expiration of the public health emergency declaration today, May 11 the company will no longer provide COVID-19 diagnostic testing services commercially. Gross margin percentage in the first quarter of 2023 was 65% versus 51% in the prior year quarter. Current gross margin trends reflect the growth in our higher margin core long diagnostic testing business and receiving Medicare coverage for our Nodify CDT test. Gross margin as a percentage of revenue for the first quarter of 2023 compared to the prior year quarter also reflects the expected decrease in the lower margin COVID testing revenue from a year ago. Looking to the remainder of 2023. We expect the overall gross margin percentage to continue to increase as a result of several factors, including the benefit of Medicare coverage for Nodify CDT tests, the benefit of recently announced commercial payer coverage decisions for Nodify XL2 as well as additional commercial coverage as we move through the year and the operational efficiencies resulting from the growth and volumes for all of our tests. Overall operating expense excluding direct costs and expenses was 22.3 million in the first quarter 2023 compared to 17.8 million for the same period of 2022. The increase in operating expense for the quarter is primarily driven from increased sales and marketing expense from the hiring of sales team members increased travel related costs due to the return to pre-pandemic level access to physicians and increases in other non-employee related costs. Operating expense for the first quarter of 2023 includes 2.3 million in non-cash stock compensation expense as compared to 1.3 million during the first quarter of 2022. Net loss for the first quarter of 2023 was 18.7 million, compared to a 15.6 million net loss for the same period of 2022. The increase in net loss for the quarter included the increase in non-cash stock based compensation, an increase of 1.3 million in interest expense primarily associated with the perceptive term loan facility and the increase in costs from the expansion of our commercial team and efforts. We ended the quarter with 25.3 million in unrestricted cash and cash equivalents as compared to 43.1 million in unrestricted cash and cash equivalents at the end of 2022, a decrease of 17.8 million, which includes the scheduled milestone payment of 2.2 million paid in January 2023 to integrated diagnostics, an annual royalty payments of 0.7 million. After considering these among other operating items our cash burn for the quarter for all non-financing activities was approximately 12.6 million. We remain focused on revenue growth and driving additional cost savings measures primarily in areas that do not drive near term revenue growth that will positively impact 2023 as we move through the year. Turning now to our 2023 guidance. We are maintaining the guidance provided last quarter of total revenue of 52 million to 55 million. Our guidance assumes continued strong year-over-year growth in our core long diagnostic testing business brought a reimbursement of our five on market tests, as well as modest expected growth in our biopharmaceutical services business. Our guidance does not project any COVID-19 revenue for 2023. The midpoint of this guidance represents approximately 60% annual revenue growth as compared to prior year quarter long and biopharmaceutical services revenue. Now let me turn it back to Scott. Scott?
Scott Hutton: Thanks, Robin. In closing, I would like to thank all Biodesix teammates, for their belief in and dedication to the Biodesix's mission, vision and culture, which revolves around our collective commitment and daily contributions to positively impact patients lives. In so doing, we have established an exceptionally strong double digit growth trajectory driven by our lung focus sales team. We are expanding reimbursement of our on market test with multiple coverage decisions from Medicare and private payers that we anticipate will contribute to our 2023 growth. Supporting this effort, we continue to successfully expand the growing body of clinical data to support the clinical utility of all five of our core lung diagnostic tests. We have established strong gross margins, which continue to improve  with the scaling of our core lung diagnostic testing and reimbursement. And we are focusing on near term revenue drivers with a cost disciplined approach. With that, I'll turn the call over to the operator for questions.
Operator: Thank you so much presenters. [Operator Instructions] Your first question comes from the line of Andrew Brackmann of William Blair. Your line is now open.
Unidentified Analyst: Hi, everyone. This is Dustin on the line for Andrew, thanks for taking our questions. First of all, just asked about the trends you're seeing recently thus far in the second quarter in terms of core loan volumes and ASPs. And maybe what are some extra patients on pacing for the rest of this year?
Scott Hutton: Yes. Hey, Dustin, good to hear from you. Thanks for joining. Great question. Q2 is consistent with Q1. All of our sales professionals have access to accounts, physicians are back treating those patients that they desire to treat and were less able to do so on a priority basis, pre-pandemic. So they're back out identifying those patients with a high risk of lung cancer. And so we feel good about that. That was one of the challenges throughout the pandemic, as you know, was really ensuring that we had continued open access to physicians. Secondarily, what we're finding is that physicians offices and schedules are full. So those patients that might have had a comorbidity were immunocompromised or at risk, and told to stay home during the pandemic. What we're hearing and seeing is that those patients are back in clinic, following up with physicians. And so for us, we look at it as a green light. Our talented sales force is out supporting those physicians. They are collaborating, and we think we can maintain and continue to build upon the growth trajectory and successes that we've had. That momentum really will positively impact those gross margins especially as Robin said, now that we're stopping all COVID testing. So we really hope by year end that we're back to those pre-pandemic levels of low 70% on the gross margins, and continuing to have strong double digit growth on our core lung diagnostic portfolio.
Robin Harper Cowie: From an ASP perspective, our average sale price by product has been very consistent. As you know, Medicare accounts for about 60% of the population. So with the Medicare coverage for each that really drives the majority of the payments. I would anticipate over the course of the year as we start to gain more and more private payer coverage for the Nodify franchise, that we could see some modest upticks. But really the biggest driver of ASP is, at least in the lung disease space, is Medicare.
Unidentified Analyst: Got it. Thanks for that. And then maybe just a related question on your recently expanded sales force. How are you guys measuring effectiveness there? And do you think the current level of sales reps now gives you a good level of growing your core long franchise this year and next year? 
Scott Hutton: Yes. So it's a great question. Again, as a first mover in this space, we really feel like we're out informing, educating and empowering physicians to order diagnostic testing to help this patient population. So there's definitely gonna be some territories that scale faster, and some that that are more of a laggard, where they're coming on later, and they're waiting for additional clinical data. So we feel that the sales force right now is appropriately positioned, we can continue to grow and scale deal with the sales team that we have, we really have yet to see a sales professional tap out or max out that territory. And so we still think there's room to improve on those sales rep productivity numbers and metrics. One of the more recent changes that we've made in 2023, is we've begun bringing on kind of a junior sales rep or an associate sales consultant. The goal here really is to enable our top performers with larger territories that are growing exceptionally fast, continue to enable them to go out and prospect, bringing on new accounts, allowing the associate the opportunity to provide support and onboarding and follow up with those accounts. We think that this will allow us to focus on some cost savings measures for the sales force. But it'll also allow us to build a bench. So as we continue to grow and expand with the sales force, this will give us the pool of talent that's already been trained already on boarded, that we can move into other territories. As we get to kind of critical mass and are able to start cutting territories and focus on growth again, an additional cost savings with that is that will minimize recruiting fees and expenses in future months. So we feel good about the size of the sales force. Now. Any sales professional would always say they would rather have more resources than less. But we know that this is a really large market opportunity. And we've just begun this journey. So we'll continue to expand but we want to do it mindfully and intentionally to ensure that we keep costs in check.
Unidentified Analyst: Make sense. Thanks, Scott. And then one more, we have just wondering if you can give us an update on the VA contract ramp? What is utilization like across all those five tests? And are CDT and XL2? Are those being ordered together within the VA contract? Thank you. 
Scott Hutton: Yes. Great question and reminder for others. Last year, in the second half of the year, we announced that we've been added to the VA fee schedule for all five of our core lung diagnostic tests. And an additional reminder, the VA had conducted a trial and an evaluation of Nodify, utilizing Nodify CDT, and Nodify XL2 together. That was an 11 site trial. And the results of that trial are what led to being added to the fee schedule. So we thought that was really indicative of performance, their view on how those two tests could help them with this at risk patient population. So being added to the fee schedule really gave us the ability to go out and focus on expanding across the VA. We've done that over the last few months, and continue to focus on it. But the one thing that we would remind everybody of it really is an introduction. So each and every time sales rep makes a new call into that VA. They're again, they're informing, educating and empowering that physician to order the test. And it takes a little bit of time. On the second part of that question, Dustin, we haven't broken out any of the test, ordering volumes and trends. I think it's easiest and safest to state that it's going to be notified CDT and XL to that lead the way and that will use acceptance on that fee schedule for the other three tests as an opportunity to introduce those over time.
Unidentified Analyst: Got it. Thank you. That's all from us.
Operator: Thank you so much.
Scott Hutton: Thanks Dustin.
Scott Hutton: I'm sorry. I was just thinking Dustin, first question.
Operator: Thank you so much. And your next question comes from the line of Alex Vukasin of Canaccord Genuity. Your line is now open.
Alex Vukasin: Hi, this is Alex Vukasin on line for Kyle Mikson. I was just curious if you could comment on the biopharma services revenue for the quarter is a little bit lower than usual. Can you just kind of discuss what you think the cadence of our pharma revenue might be, if you might face some potential headwinds over the year? Thanks. 
Scott Hutton: Yes. Great to hear from you, Alex. Good question. Biopharma over the last three years really has been significantly impacted. And a lot of that's due to clinical trial enrollment, whether it was clinical trials that stalled or pause during the pandemic, or trials that were closed. What we've really been monitoring and watching for is that rebound, and kind of the return to normal cadence of events like we saw pre pandemic. We've seen it on numerous fronts. That's why we're so proud of excited to share the dollars under contract in 2023. We've had a record number of requests for proposals come in thus far. So we think that that's a leading indicator that the biopharma business and interest remains high and is rebounding. Unfortunately, when you're dealing with a lot of those existing contracts that are pulling retrospective samples, it's really reliant on getting access to those samples. And so we believe all of those contracts that are in place are still top priorities for our biopharma partners. We think they'll continue to proceed. But we were a little disappointed in how we finished 2022. And how we've begun 2023. Obviously, we would have liked to have seen more of those samples come in. But again, we think that that's still probably going to be question mark, going forward, I think there's an opportunity for us to improve, but the business has been lumpy for quite some time, we think the second half of 2023 is going to be exceptionally strong. And we fully expect this quarter Q2, to be an improvement upon Q1. So we think we'll continue to build and scale throughout the year. But most importantly, we're focused on building the book of business. And we fully expect that book of business, which is a little over nine, 9 million under contract, at this point in time, we expect that to continue to grow, and it should be in the low double digits by next earnings call.
Alex Vukasin: Got it. Thank you very much for all that great color. One last one for me. I was just curious if you could kind of highlight any upcoming readouts for Insight and any of their other studies that we can look forward to in the next few quarters. Thanks. 
Scott Hutton: Yes. I know great question, Alex. As a data driven diagnostic company, obviously, we're really excited to publish present. And the more data we can get out there, the better off we're gonna be. We just recently had a number of healthcare econ abstracts, and we'll be sharing those in a press release here soon. And it really goes to demonstrate and highlight the value of the Nodify testing strategy, the impact it can have at the hospital and clinic level, and really reinforcing the importance of intervening on those patients that need it most, and prescribing a wait and watch approach for those patients that truly have a benign nodule. So we'll share more hear in the coming days on that. And then as we head into a meeting and conference season, we will have a number of abstracts, presentations and posters, will share more data on that, as embargoes are lifted. We're excited to share that insight, which, as you may recall, is our study on [indiscernible] our proprietary immune profiling test, we are rapidly approaching the 5000 patient mark, that was really our target. So by our next earnings call, we'll give an update on that. And I fully expect that we will have begin or begun to close some of those sites, as we'll begin wrapping up the Insight trial when we do so at that time, Alex will give you kind of a perspective outlook on when will publish when will present and what kind of data analysis we'll be looking at. And then also as a reminder, we've begun shutting down the Oracle study for Nodify. And we've submitted that paper to be published. So we're hopeful here in the coming days and weeks that we'll have news to share on that paper publishing. But as a reminder, we did an interim analysis last year. And at that point in time, we were able to show by utilizing the Nodify testing strategy, those physicians were able to decrease unnecessary interventions by nearly 70%. So again, most importantly, taking tests that had really good validation data, and now demonstrating that in a real world environment those tests are performing at an at an equal to or greater than performance rate. Those are the those are the two main lookouts altitude continues to enroll the strong rate, but we don't have any interim analysis here in the next quarter or two.
Alex Vukasin: Great. Thank you so much. That's really helpful.
Scott Hutton: Yes, thank you, Alex.
Operator: Thank you so much. Your next question comes from the line of [indiscernible] of Morgan Stanley. Your line is open.
Unidentified Analyst: [indiscernible] On the call for [indiscernible] thank you for taking your questions. Scott with momentum building for Nodify franchise. Are you planning Additional hires this year. And then also your prior comments suggested your Salesforce is currently more focused on calling on physicians at academic centers. Does that still hold true? And if so, how are you thinking about the right time to start putting greater commercial push into the community setting? 
Scott Hutton: Yes. Great question [indiscernible] Good to hear from you. We really are trying to be mindful of when and where we spend. I think like all other companies out there, we've got our eyes on a path to profitability that we haven't shared yet. But being a high growth company, and demonstrating the growth that we're demonstrating, we think it's a balance. And so for us, what we don't want to do is blindly go out and hire sales professionals, and assume that each and every territory will be the same, and that it gives them an equal opportunity to not only ramp at the same rate, but that they can hit the same sales rep productivity numbers. So if anything, we'll err on the side of proving it out first, and trialing it to the before we bring on a fully burdened sales professional. We do have great successes in both the academic arena, but also in the community setting. And so yes, we do focus on both. There's a number of territories right now, where I would say some of their strengths are actually focused on the community based pulmonologist. But again, it's going to vary across territories, based upon the different or at least the presence of different academic institutions, the referral networks, the different pathways. So for us, we really have to focus on all. But with our early entrance into some of our clinical trials and publishing, we've got strong support from some of the major academic institutions. So I wouldn't say that we've, we've necessarily prioritize one over the other. A lot of it is a stepwise process. And as we balance that I fully expect equal success across the board.
Unidentified Analyst: Great, thanks. Thank you for that. And then another quick question. With decision to discontinue COVID testing, are there any associated expenses or cost savings that we should be thinking about as we think about OpEx trends for the year? 
Scott Hutton: Not really, we had wound down our COVID testing over the last couple of quarters and you saw the test that COVID revenue is really decreased. Part of our strategy with getting into COVID was to try not to invest heavily in that part of the business, we actually utilize the same technologies that we use for our [indiscernible] DDT, PCR testing and for our Nodify CDT testing. So all of that equipments, the supplies, everything is now being used and all of the personnel are now being used in the growth of our, our core lung diagnostics. So really leveraging what we had built to help scale for long over the next year. 
Unidentified Analyst: Great, thank you so much.
Operator: Thank you so much. And presenters, there are no further questions at this time. Thank you for participating presenters. This concludes today's conference call and you may now disconnect. Have a great day.